Operator: Good day, everyone, and welcome to the Frontier Communications' Second Quarter 2015 Earnings Report Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Luke Szymczak. Please go ahead.
Luke T. Szymczak - Vice President-Investor Relations: Thank you, Jessica, and good morning, everyone. Welcome to the Frontier Communications' second quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO; and John Jureller, President and – Executive Vice President and CFO. The press release, earnings presentation and supplemental financials are available in the Investor Relations section of our website, frontier.com. During this call, we will be making certain forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and SEC filings. On this call, we will discuss GAAP and non-GAAP financial measures, as defined under SEC rules. Reconciliation between GAAP and non-GAAP financial measures is provided in our earnings press release. Please refer to this material during our discussion and review the cautionary language concerning non-GAAP measures in our earnings press release. I will now turn the call over to Dan.
Daniel J. McCarthy - President and Chief Executive Officer: Thanks, Luke. Good morning and thank you for joining Frontier's second quarter 2015 earnings call. I am very pleased with second quarter results. Growing customer revenue, delivering strong broadband net additions, and stabilizing Connecticut residential revenue were all highlights. We have also made substantial progress in the announced acquisition of the Verizon properties in California, Texas and Florida and finalized our plans for utilizing Connect America Funds to transform unserved and underserved areas in our footprint. I will review our Q2 performance and discuss our plans for the remainder of the year, as well as our deployment plans for CAF II. Please turn to slide 5. We achieved sequential growth in customer revenue in the second quarter. This reflects both the stabilization in Connecticut and growth in our legacy Frontier footprint. Actions taken towards the end of the first quarter stabilized Connecticut residential customer migrations to lower cost packages. That trend continued through the second quarter and through July. In other words, we have experienced five consecutive months of stability, and we are confident that the migration pressure that impacted Q1 will not reoccur in the remainder of the year. In addition, the Connecticut customers that migrated in early Q1 will see their promotional pricing expire in early 2016, offering an opportunity to return to more normal ARPC levels. Second quarter net broadband additions were more than 29,200. This represents our 10th consecutive quarter of robust broadband growth, even though the second quarter is seasonally softer as school years end. Once again, this quarter, our success has been broadly based. We have gained residential broadband share in over 75% of our markets year-to-date, illustrating that our go-to-market approach continues to resonate. In addition, our alternate distribution channels have produced great results in both the residential and commercial segments. We continue to see more customers choose higher speed broadband products. In the second quarter, 45% of the broadband activity was above the basic speed tier of 6 megabits. With about 75% of our broadband customers still utilizing our basic speed tier, we have a substantial opportunity to improve our average revenue per customer as they upgrade their Internet service to higher speeds over time. This illustrates the benefits delivered by ongoing network investments. Going forward, we will continue to expand speed and capacities. We will also focus on improving our operational support systems to make it easier for customers to self-serve and manage their use of our products. Revenues from small, medium and enterprise were a bright spot. The second quarter marked our sixth consecutive quarter of stable SME revenue in legacy markets. In Connecticut, SME revenue grew slightly from Q1 levels, and we see ample opportunity to further penetrate this segment throughout the country as we continue to build our sales distribution networks. Needless to say, I am extremely pleased with these results. We have seen success in selling Ethernet-based products to all segments of the commercial base. In addition, we have made excellent progress in closing sales with many municipalities for next-gen 911 systems. This will yield benefits in the coming quarters, and cement long-term relationships that will survive for many years. Over the last few years, we have made substantial investments to enhance our Ethernet capabilities for both the wholesale and retail markets. These investments have produced strong year-over-year double-digit growth in our Ethernet service revenue. This growth, coupled with strong performance in all our commercial sales distribution channels, more than offset the headwinds we continue to experience in wireless backhaul segment. Wireless backhaul is now down to about 4% of our total revenue. So, this will have less impact on our business in the future. In July, we accepted $283 million in annual CAF II funding. This was the full amount to which we were eligible. We have been busy planning the deployment to maximize impact in the limited construction season left in 2015. These efforts will commence in August and will continue until the close of our construction season in October. John will cover the financial aspects of CAF II shortly. In summary, we are very excited about this program, and believe it offers an opportunity to change lives and build value for our shareholders. Turning to the Verizon transaction, we made substantial progress in the second quarter. In June, we completed our equity offering, raising $2.75 billion in common and preferred equity. We appreciate the confidence our new investors have placed in us, as well as the additional commitment many of you made during this equity offering. This was a very significant element of our funding for the acquisition, and was necessary to complete prior to moving forward with our debt offerings. John will cover this further in his presentation. Our integration teams are working diligently to finalize network cutover plans and to identify customer experience gaps for remediation. We have already completed a great deal of the work. The conversion efforts are all going well, with no material obstacles identified. From a regulatory standpoint, we expect to receive the limited approval needed from Texas shortly. The California Public Utilities Commission has adopted a case schedule that would yield a final approval by the end of December. Under this schedule, we have been meeting with various community leaders and organizations throughout California to understand their perspectives. In addition, the CPUC is holding 11 public comment sessions throughout the state. These sessions will be completed over the next several weeks. Importantly, we reached an agreement with the unions that represent the workers in these states. This was a win-win for all involved. The unions are now enthusiastically supporting approval at the state and federal level. On the federal side, we continue to work with the FCC to explain the benefits of this transaction for customers. We remain confident that we will receive FCC approval in the second half of the year. And therefore, we are now targeting a close date of March 31, 2016. Please turn to slide 6. The Verizon acquisition will transform Frontier. As you can see from the pie charts on the slide, with the addition of the Verizon markets, residential voice revenues will constitute less than 20% of Frontier's pro forma revenue based on 2014 run rates. Likewise, wireless backhaul revenues from the continuing Frontier territories will comprise only about 2% of overall revenues, making any future declines less consequential. We will also gain a substantially and large FiOS footprint and much greater scale. This transaction increases Frontier's growth profile and reduces our exposure to declining portions of our business, improving our business mix significantly. Another benefit of this transaction is the technology refresh that we will enjoy for our existing FiOS markets. We are currently finalizing our plans to introduce this new technology in these FiOS markets in Q4. The new FiOS platform, an existing Verizon pricing and bundles, will become the new standard for our current FiOS markets later this year. This will allow us to have three months to six months of operation of the refreshed platform prior to integration of the new states. We will utilize this time to get our team very comfortable with the new features, functionality and business processes needed to support the current FiOS platform, and then we will continue the exact Verizon pricing and bundle construction in the new markets following conversion. As a result, we will not see the migration impact we saw in Connecticut in Q1. This conversion change will reduce training requirements of transferring employees, maintain the effectiveness of alternate channel partners, and most importantly, prevent the possibility of revenue declines associated with bundle migration as we experienced in Connecticut. We continue to anticipate significant synergies as we substitute Frontier's lower cost structure for Verizon's. The Frontier team is working to deliver at or above synergies and EBITDA levels that we have communicated. The key driver of our synergies is the elimination of the Verizon expense allocations. As we approach the midpoint of our integration efforts, we remain highly confident in delivering on pro forma financial projections. We continue to estimate that the completion of the Verizon transaction will provide over 30% accretion to leverage free cash flow per share in the first full year, and will result in a solid improvement to our dividend payout ratio. I will now hand the call over to our CFO, John Jureller.
John M. Jureller - Chief Financial Officer & Executive Vice President: Thank you, Dan. Frontier reported a loss per share of $0.03 in the second quarter of 2015 compared to a loss per share of $0.05 in the first quarter of 2015, and earnings of $0.04 per share in the second quarter of 2014. Adjusting for acquisition-related interest expense, acquisition and integration costs, severance cost, and certain tax benefit items, our non-GAAP adjusted net income was $0.03 per share in the second quarter of 2015 compared to $0.02 per share in the first quarter of 2015, and $0.05 per share in the second quarter of 2014. On July 29, the board declared a common dividend of $0.105 per share for the third quarter of 2015, payable September 30, in line with the dividend rate of the first and second quarters. We will also be paying the first dividend on our newly-issued preferred shares on September 30. Please turn to slide 7. Second quarter revenue was $1.37 billion. Total Connecticut revenue of $264 million was stable sequentially as compared to the first quarter of 2015. Customer revenue of $1.2 billion was up $3 million sequentially, or 0.3%. This represents a very strong result particularly considering that wireless backhaul revenue declined. Excluding the decline in wireless backhaul revenue, customer revenue would have been up 0.6% sequentially. Total residential customer revenue of $615 million included a $3 million sequential increase in our legacy operations, offset by a $5 million decline in Connecticut, which we previously anticipated within our discussion of Q1 results with respect to pricing migrations. Within our legacy footprint, quarterly residential data revenue increased more than 10% over the prior year. Further, residential data revenue increased by nearly 2.6% sequentially over Q1 inclusive of Connecticut. Notwithstanding the slight quarterly sequential decline in Connecticut residential revenue, in each of the months in Q2, we achieved our higher level of revenue than March, the month in which we saw the largest revenue impact from the residential customer pricing migrations. The actions that we took in Connecticut in the latter part of Q1 have the intended positive impact. We expect this positive momentum to continue in the second half of this year. Business customer revenue of $621 million was up $5 million sequentially. Growth in both SME and carrier wholesale more than offset the anticipated decline in wireless backhaul. The growth came in both our legacy and Connecticut operations. Total data and Internet services revenue increased $9 million sequentially. Growth in data services outstripped the decline in non-switched revenue. Ethernet continues to grow at about a 20% annualized rate. Voice revenue continued to decline as anticipated, reflecting the industry secular headwinds of declining voice customers. Regulatory revenue for the quarter was $132 million, down $6 million sequentially. Excluding the amounts attributable to CAF I true-ups, regulatory revenue would have shown a slight increase in Q2 as compared to Q1. Residential average revenue per customer, or ARPC, was $64.43 for the second quarter of 2015, an increase of 0.5% sequentially. Business ARPC was up 1.6% sequentially. ARPC within SME was up sequentially. The adjusted EBITDA margin in the second quarter was 41%, which was stable with the first quarter. We continue to deliver margins above other companies in the sector, with our relentless focus on expense management and continuous operational improvements. Cash operating expenses were nearly unchanged versus Q1, despite an increase in head count to support our Frontier Secure strategic partnership service offering. Last quarter, we said we had achieved annualized cost synergies in the Connecticut acquisition of $230 million as of the end of the first quarter, exceeding our $200 million target for synergies and far earlier than our original timing of year three. We continue to believe there are additional synergies we will realize in both Connecticut and centralized support areas. As a result, we will be referencing them in the future as normal cost reduction opportunities. Capital expenditures were $178 million in the second quarter. And we spent an additional $28 million in CapEx related to integration activities. Our CAF I expenditures in Q2 were $7 million. Since inception, we have been able to operate a broadband service to 197,600 households, including an incremental 8,900 households within this past quarter. We continue to anticipate completing our CAF I obligations in the third quarter. Please turn to slide 8. Frontier's cash flow remains very healthy. Our leveraged free cash flow was $200 million in the second quarter. Our trailing four-quarter dividend payout ratio remains very strong and sustainable at 55.6%. Note that the next quarter you will begin to see our dividend payout ratio trend upwards as a result of our June equity raise. This increase will be temporary until we close the Verizon acquisition. Post closing, the cash flow from those states will return the payout ratio to normal levels. As we report our results in these intervening quarters, we will call out the impact of the dilutive effect of the incremental shares issued in anticipation of the incremental financial benefit from this transaction. Please turn to slide 9. Our leverage ratio at the end of Q2 pro forma for Connecticut was 3.64 times. Frontier's liquidity remains robust. We ended the quarter with more than $2 billion in cash and credit availability, excluding our restricted cash balance. We repaid debt of $121 million in the second quarter. We're in the process of closing a portion of the debt financing to support the Verizon transaction, which will further take out another layer of the temporary bridge facility. We have a broad window prior to the transaction closing to complete the remainder of the financing, allowing us to be opportunistic in our approach as we finish our capital raise. Frontier's capital allocation framework remains unchanged, investing appropriately in our network infrastructure and operations, supporting our current dividend, and utilizing excess cash generated to reduce indebtedness in our leverage ratio over time. We are comfortable with the leverage levels we project for after the closing of the Verizon transaction. We are committed to maintaining our liquidity, along with a prudently managed balance sheet. We announced in June that Frontier has accepted all of the CAF II support allocated to us by the FCC. These funds will begin to flow to Frontier in the third quarter, with a subsequent wind-down of our frozen USF support. Based upon our analysis and review, we intend to recognize this subsidy within our regulatory revenue as we received the funds from the FCC, similar to our historical treatment of USF subsidy revenue. Slide 10 presents updated full year guidance for 2015. Our leveraged free cash flow is now a range of $825 million to $865 million, capital expenditures will be within a range of $700 million to $750 million, and cash taxes are estimated at $95 million to $110 million. This leverage free cash flow guidance reflects the CAF II subsidy revenue, including the full year 2015 true-up payment in excess of our previous frozen USF in the second half of 2015, net of the incremental CapEx and cash tax impact. The updated capital expenditure guidance includes the additional spending for the CAF II program that we estimate incurring in 2015. Over the current six-year planned life of this CAF II subsidy program, we anticipate that the CAF II subsidy revenue that we received in excess of the historical frozen USF support levels will be sufficient to cover the incremental CapEx necessary to reach the number of customer locations we are obligated to enable. As has been the case with our prior guidance numbers, this updated guidance excludes spending related to acquisition and integration expenses. In summary, Frontier's Q2 2015 operating results, our progress with the Connecticut transaction, our prudent capital investments and expense management, all provide a strong cash flow base and a solid financial platform for supporting and investing in the business. We have ample capital to invest and enhance our competitive infrastructure, service our debt and comfortably sustain our dividend. Moreover, the CAF II subsidy program creates a tremendous opportunity to enhance our network and residential capabilities in the states in which we operate and will provide an attractive financial return for our stakeholders, all while supporting the FCC's long-term objectives of broadband availability. With that, let me pass the call back to the operator and open up the line for questions.
Operator: Thank you. And we'll go first to Batya Levi with UBS.
Batya Levi - UBS Securities LLC: Great. Thank you. You mentioned that stability in the business continued through July. Can you provide more color on trend specifically for the consumer segment and business segment? And maybe touch on the competitive environment. Other telcos have suggested that competition increased through the end of the second quarter. Have you seen any pickup in your markets? And a second question on the CAF. You mentioned that you're going to book it similar to the frozen USF. How should we think about the operating expenses that will come along with it for this year? Thank you.
Daniel J. McCarthy - President and Chief Executive Officer: Sure. Batya, it's Dan. When we guided on the stability, we continue to see the same trends that we saw exhibited in Q2. So very good performance in both the legacy as well as the Connecticut properties. We continue to see opportunity on the commercial side to potentially grow similar to what we did in Q2. But at this point, we are not seeing any changes from those trends, so we're very optimistic about Q3 at this point. From a competitive perspective, we saw competition ramp up just as others did. But I think you could see we took share despite that in Q2. We feel very good about where we are positioned. And I think we are in a slightly different place than some of our peers who have existing markets that they've been operating for an extended period of time. We have still opportunity in both the CAF I as well as the areas that we had enabled following the first Verizon acquisition that continue to bear fruit for us and we continue to see our offers resonate there. So we think there is great opportunity there and we also see opportunity as we upgrade some of the markets with the CAF II funds to improve retention as we offer higher speeds and capacities in the legacy market.
John M. Jureller - Chief Financial Officer & Executive Vice President: Batya, with respect to the CAF, we don't really anticipate any additional OpEx in the balance of this year related to the program. We'll certainly have CapEx dollars that we spend, but we conservatively are not putting into our leverage free cash flow for CAF II any additional revenue from the homes that we're going to connect during that period of time. But in general, we don't see the CAF II program as adding expense to our operating platform.
Batya Levi - UBS Securities LLC: Okay. Thank you.
Operator: We'll go next to Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. Can you provide us any color on the performance of the Verizon lines during the second quarter? And then following up on the broadband question, perhaps you can just refresh us on what your penetration is of the homes that you are offering broadband to, what your market share is. Just give us some sense of the upside there. Thank you.
John M. Jureller - Chief Financial Officer & Executive Vice President: Hi, Simon. As to the Verizon properties, we will be getting shortly sort of the full results from those three states and will be providing those along with, as we do our public debt raise. As you saw in Verizon's results is they continue to have good prospects in terms of our FiOS broadband adds and we anticipate the same things happening, same trends in the three states that we are acquiring. But we'll have more detail to provide in connection with the offering.
Simon Flannery - Morgan Stanley & Co. LLC: Okay.
John M. Jureller - Chief Financial Officer & Executive Vice President: As to the broadband penetration, we still remain in, I would say, the mid-20s. We still have a lot of opportunity left to go. We continue to gain share in every quarter, but we have a lot of headroom in our existing footprint.
Simon Flannery - Morgan Stanley & Co. LLC: (26:40) how is Connecticut broadband going versus the legacy? Are you seeing some good momentum across all markets? Are there particular areas where you're doing well?
Daniel J. McCarthy - President and Chief Executive Officer: We actually saw some good momentum in Connecticut. They contributed nicely to the net additions in the quarter. We're in the process of upgrading the areas that are non U-verse today in many parts of the state. As you may recall from the approval docket, we had promised to upgrade 100,000 homes in Connecticut. So, we are moving forward with that right now. In addition, we're rolling out 100-meg over copper product in Connecticut, and we feel very good that we'll be able to change the trends in the parts of Connecticut that AT&T had not upgraded historically. And we should have a nice opportunity going forward.
Simon Flannery - Morgan Stanley & Co. LLC: Is that bonding you're doing that with or...
Daniel J. McCarthy - President and Chief Executive Officer: Yeah, bonding and vectoring.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: We'll go next to David Barden with Bank of America.
David William Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. Good quarter. So I guess if I could, just two clarifications. So number one, John, so just on the revenue recognition for CAF II, I guess inasmuch as the CAF II funding is going to be a step function increase in the regulatory receipts starting next quarter, is that what we should be modeling in as a step function increase in revenues starting in 3Q and going forward? And then I think you mentioned there weren't going to be a lot of additional expenses, so it kind of sounds like there is a step function increase in EBITDA, that was kind of point one. And then point two, I think that you were saying that over the life of the program, over and above what you receive in USF, that incremental amount of money will cover all the CapEx spending in order to meet the requirements, I think that was clarification number two. And then just on the last piece is on the bond deal or debt financing that you are working on, I think one of the issues for the equity over the last little while has been that there has been this feedback loop where the bond market is anticipating a bond raise, so the bond yields go up and that puts pressure on the equity and that informs the opinion for the bond market. And getting that deal done, I think, will be potentially very positive for the equity. Could you kind of elaborate on your strategy for addressing that kind of part of the funding program, would be helpful? Thanks.
John M. Jureller - Chief Financial Officer & Executive Vice President: Sure. Let me first start. In terms of the rev rec on CAF, yes, it will flow through subsidy revenue in the second half of this year, and you will see that step function increase in EBITDA really related to the regulatory revenue stream. We continue to see positive momentum in our customer revenue stream, and this will step it up from a regulatory revenue perspective. I will say too that, in the back half of this year, we'll also be recognizing the amount that we get as a true-up payment, as well as certain unwind of the frozen support. So in total for the year is, we will have more than the $283 million of the CAF II support, because it also includes some unwind. But that will be in the back half of the year. Think about this, Dave, proportionally over, call it, a five-month period, because we'll get the true-up payment we anticipate this month here. So we'll see probably two-fifths of that impact in the third quarter, and then the remaining three-fifths in Q4.
Daniel J. McCarthy - President and Chief Executive Officer: And, Dave, on the increment of the CapEx versus frozen support and our ability to meet the requirements under CAF II, we have had our engineering teams working on this issue now for the better part of five months, six months. And we feel very comfortable that, if you look at the incremental funding that we will get above the frozen support level, that that meets all of our needs necessary to upgrade these 650,000 to 660,000 households. So, we are very comfortable with that. Starting this late in the year, we will focus on, I think, some low hanging fruit, but then you will see us ramp up and address some of those un-served areas as we get into 2016, where we think there is a lot of opportunity to take share and really drive higher ARPCs as we bring customers on to a broadband product.
John M. Jureller - Chief Financial Officer & Executive Vice President: Dave, the last point – question you asked with respect to the debt financing and timing, I think you are absolutely right. I think the market would like to understand the total shape of what we are doing, and we are making good progress at it. We had a huge step in June as we did the equity raise. We are in the market right now with respect to the next layer of our debt financing. And as to the remainder, we'll continue to be opportunistic here. As Dan indicated now, with our target of roughly March 31 of closing, we still have plenty of time, seven months, that we have in the debt markets. But we will be opportunistic as we get it done. And we think that the best impact for us with respect to how we trade in the market, quite frankly, is our performance – is our continuing performance, and we think Q2 bodes well for us.
David William Barden - Bank of America Merrill Lynch: Great. Thanks, guys.
Daniel J. McCarthy - President and Chief Executive Officer: Thanks, Dave.
Operator: We'll go next to Kevin Smithen with Macquarie.
Kevin Smithen - Macquarie Capital (USA), Inc.: Thanks. I wondered if you could talk a little bit about pricing initiatives. You had very strong ARPA (32:28) or whatever your acronym you are using, and I apologize for – there is a lot of different ones going around the industry now. How you sort of think about incremental price hikes and the normal annual price hikes for Verizon FiOS, will those continue during this transition period? And how do you sort of price your broadband versus theirs over the next – until the closing?
Daniel J. McCarthy - President and Chief Executive Officer: Kevin, from a pricing perspective, probably the single biggest area that we made changes in was in the Connecticut market. And we did that to ensure that we would have a price in the market that was both competitive and prevented customers from migrating to a more acquisition pricing. The benefits that you see on ARPC were partially associated with that, as well as customers moving to higher speeds, and also customers taking our Frontier Secure product set. So it was a combination of all three of those. As we look at the Verizon properties that we are acquiring, we will continue to pass through the content price hikes. We also will be passing those through on our legacy FiOS markets, as well as Connecticut. You'll see us do that generally in the same timeframe as most others, in the first half of any calendar year. And as we look at the pricing that Verizon has in the market, again, we will be replicating that pricing in those markets towards the end of the year and rolling that out in our existing markets. But more importantly, we will not have any changes to those price points or bundles or business processes. So we eliminate the potential for a similar migration effect that occurred in Connecticut. And I think that's a key point in our change in our integration planning.
Kevin Smithen - Macquarie Capital (USA), Inc.: And just in a normal course with Verizon, if the deal doesn't close until after the typical price hikes at the beginning of the year, would that – would those price hikes still take effect? Or will they wait and have you decide what to do upon closing?
Daniel J. McCarthy - President and Chief Executive Officer: But I think that they would move forward with the normal course of operating their business. So if that hike is in the first quarter, that would happen in the first quarter.
Kevin Smithen - Macquarie Capital (USA), Inc.: Got it. Thank you.
Operator: And we'll go next to Frank Louthan with Raymond James.
Frank G. Louthan - Raymond James & Associates, Inc.: Great. Thank you. Back to the CAF issue, can you give us some details on the CAF I results? Where do some of the costs come in relative to what you're expecting for CAF II and the penetration you have gotten? And any insight on what Verizon is considering doing with the CAF money they have been offered in the states that you are acquiring. Thank you.
Daniel J. McCarthy - President and Chief Executive Officer: Yeah, Frank, the CAF I funding, there is a wide variety of cost per household past depending upon where those census blocks were. So we anticipate the same kind of phenomenon in the CAF II. As we look at it, our engineering teams have very detailed models that are based off of not just CAF I but also the 14 states that we upgraded previously with Verizon. So we have a huge amount of experience in upgrading those markets and that's what has informed our confidence on being able to accomplish the goals of CAF II within the incremental CapEx above the current frozen support levels. We have seen nothing that has really changed our mind on that. We were able to actually accomplish all of the CAF I build-out below what the original allocation of the CAF I funds were. So we felt very good about that. And we're also very bullish based on the experience in the take rates that we have seen in the CAF I areas for what we can expect from knock-on effect for customers taking the product after we enable those areas. So many of these customers, their only solution today is either a dial-up, which seems crazy for us to be talking about that, but also a satellite-based broadband. So obviously our product, even at a fully loaded cost, would be significantly better than either of those alternatives and we're expecting some really nice development on that.
Frank G. Louthan - Raymond James & Associates, Inc.: Okay, great.
John M. Jureller - Chief Financial Officer & Executive Vice President: Yeah. I think, Frank, you asked what's Verizon doing with the CAF II funds. We don't have any further information as to what they may or may not do in their areas.
Daniel J. McCarthy - President and Chief Executive Officer: And they'll make that election one way or the other by the end of August.
Frank G. Louthan - Raymond James & Associates, Inc.: Okay, great. Thank you.
Operator: We'll go next to Scott Goldman with Jefferies.
David Scott Goldman - Jefferies LLC: Thanks and good morning. I guess a couple follow-up questions. One, looking at the business services in Connecticut, it looked like a nice inflection there based on what we think the trends have been of late. I'm wondering, Dan, maybe you could just talk a little bit about what you are seeing in the business services side in Connecticut and how sustainable that trend may be. Maybe how much – break down a little bit how much could be from customer wins versus some of the pricing actions that may have taken place in 1Q. And then maybe just a question for John on EBITDA. Obviously, you talked a bit about what CAF II will mean on the revenue and EBITDA side equation, but I'm wondering if we sort of strip out CAF II, if you could talk a little bit about what the trajectory for EBITDA might look like in the second half. I think Dan mentioned increased head count, which I think we have seen for a couple quarters now tied to Frontier Secure. Is that something that should continue? And just how do we think about some of the puts and takes on sort of the organic EBITDA going forward? Thanks.
Daniel J. McCarthy - President and Chief Executive Officer: Hey, Scott. On the Connecticut business services, we are very bullish on Connecticut commercial services. In fact, it's one of our best performing markets. And when we look at it, it really had nothing to do with pricing actions. It had everything to do with winning customers and taking business. The predominant services that we're selling are Ethernet. In fact, it's been an incredibly complementary addition to the entire workflow around that. It's probably our most successful Ethernet market to date. And we continue to see that each and every month. So we are very, very bullish on Connecticut, continue to see good performance there.
John M. Jureller - Chief Financial Officer & Executive Vice President: And then, Scott, with respect to EBITDA, we don't guide on EBITDA. I will just say that we are very optimistic about the trends that we have, including maintaining our margins as we go forward.
David Scott Goldman - Jefferies LLC: Okay. Thank you.
John M. Jureller - Chief Financial Officer & Executive Vice President: Operator, we'll take one last question.
Operator: We'll go last to Phil Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, guys. On the FiOS side, I assume that if Verizon raises prices, if they were to do that in the first quarter, you would follow in your FiOS markets, is that fair?
Daniel J. McCarthy - President and Chief Executive Officer: That is fair.
Philip A. Cusick - JPMorgan Securities LLC: And then on the technology side, it sounds like you are going to take the next – sort of catch up to Verizon on the FiOS technology. Have you signed some sort of long-term agreement to follow them on technology from here?
Daniel J. McCarthy - President and Chief Executive Officer: We have the ability per our purchase and sale agreement, Phil, to use the FiOS brand as well as the technology for an additional five years in all of our legacy markets as well as all of the acquired markets. During that five-year timeframe, we will develop our own product set that's exactly the same, focused on Quantum or the IMG and we'll be able to take advantage of this as kind of a leapfrog forward. So it will be exactly the same for five years and then we will make subtle differences and make that our own going forward.
Philip A. Cusick - JPMorgan Securities LLC: And what kind of expense should we be thinking about there? Any kind of ramp-up or is that built into the existing numbers?
Daniel J. McCarthy - President and Chief Executive Officer: That's built into our existing plans. All acquisition will be really focused on kind of the Quantum product set going Q4 forward. And then next year as customers migrate away from the older technology whether it's set-top boxes or want to upgrade to Quantum, then we might see some expense. But we are not anticipating a very large bump there.
Philip A. Cusick - JPMorgan Securities LLC: Got it. Thanks, guys.
Daniel J. McCarthy - President and Chief Executive Officer: Well, I just – I want to thank everyone for joining us this morning. In closing, I would say, we had very solid results in the second quarter both in legacy and Connecticut portions of the business. We're continuing to lay the groundwork and making progress towards completion of the Verizon acquisition. And the entire company is intensely focused on increasing shareholder value and we believe we have significant opportunities ahead of us. So again, thank you for joining our call today and we look forward to updating you again on the third quarter.